Marleen Vanhecke: Good morning. Thank you for joining us today for the presentation of our half year results. You're most probably feeling the same way that we are the first 6 months of the year have flown by. And let me start by introducing you to today's key speakers, Bernard Gustin and Marco Nix, CEO and CFO of Elia Group. Welcome to both of you. We'll kick off today's presentation by looking back at the group's most important highlights from the past 6 months. A lot has happened both at Elia Group and across Europe's electricity sector more widely. And one of the most prominent examples that come, which is on screen now at Green now. It contains important information that you should take note of. And as always, today's slides and the full script will be published online shortly after the live stream came to an end. The first highlight I would like to take you through is Elia Group's successful completion of a EUR 2.2 billion capital increase in April. The following video features the ring the bell ceremony in Brussels. [Presentation]
Marleen Vanhecke: And green is definitely a good color, Bernard Gustin. The capital increase was your first big milestone as a new CEO of Elia Group and the equity raise followed quite a difficult period for the company. Can we say new shares, new beginnings?
Bernard Gustin: Well, I would say that this is absolutely the case. Since the announcement at the beginning of March, our stock price has increased significantly, and that's a clear signal from the market. And just as important is how we structure the capital increase. By combining a private placement with the launch of a rights offering, we achieved three key objectives. Firstly, through the private placement, we secured the support of high-quality investors who carry a deep level of expertise in the sector and can support the long-term growth of the group. This includes our reference shareholder, Publi-T/NextGrid, and new international players such as ATLAS Infrastructure, along with the Future Fund, CPP Investment and BlackRock. Secondly, we significantly strengthened our balance sheet, giving us a clear defined set of tools and the flexibility to finance our growth in the lead up to 2028. And thirdly, we struck the right balance between attracting new investors while allowing existing shareholders, including retail investors to participate. And this helped us to minimize dilution and maintain broad support. So in a summary, the capital increase was a key step towards safeguarding our financial resistance. And it ensures that we can continue to invest in our grid and strategic projects at the pace that society requires.
Marleen Vanhecke: Let's stay with the Brussels Stock Exchange for a moment because this year marks the 20th anniversary of Elia Group's initial listing. We managed to dig up an old picture of that moment and the initial listing took place at a price of EUR 28.75 per share. So over the past 2 decades, Elia Group hasn't just grown as a company. We've also consistently created value for our shareholders. Marco, can you provide us with some numbers?
Marco Nix: Since our listing, Elia Group has delivered a total annual return of about 10.5%. This achievement combines two things: an average annual share price increase of around 6.5%; and over EUR 1.95 billion in dividends returned to our shareholders. Value creation lies at the core of Elia Group strategy. We have a strong track record, one we can be proud of and one we are determined to build on.
Marleen Vanhecke: Yes. And we can also be proud of some other key milestones we celebrated during the first half of the year. Let's start by taking a look at our offshore projects. [Presentation]
Marleen Vanhecke: Focusing in on the Belgian North Sea. At the beginning of June, the Belgian government confirmed the launch of two tenders relating to the development of additional offshore wind capacity in the Princess Elizabeth zone with tender covering 700 megawatts and the other covering 1,400 megawatts. However, no decision has yet been taken about the development of the third offshore wind concession zone, which the previous government decided on. Bernard, now this is clearly a complex puzzle, I would say. How can this type of policy uncertainty be handled at Elia Group?
Bernard Gustin: Yes, sure. Well, the decision taken by the Belgian government regarding this new capacity constitutes an important policy update. And as you said, it confirms that the two first concession zones will carry a combined capacity of 2.1 gigawatt. As the video just demonstrated, we have already started building the AC infrastructure needed to connect these two new offshore concession zones to the transmission grid. Moreover, the government's decision also confirms the importance of building an additional interconnector between Belgium and the U.K. So we now have to work on the most cost and energy-efficient setup for this interconnector and its potential combination with a third offshore wind farm. And as Frederic mentioned in the video, we just watched, we are actively working on this alongside our counterpart in the U.K. But we hope to have more clarity about the project at the start of next year. But we are very satisfied that the main subpart of this unique energy hub project can continue to be worked on.
Marleen Vanhecke: And in the meantime, 7 of the island's 23 [indiscernible] have already been placed on the seabed. However, discussions about the project timing are ongoing. It is not clear whether the islands foundations will be ready by the summer of 2026 or not. Could this carry consequences regarding the European subsidy that we will receive from the Recovery and Resilience Facility or the RRF?
Bernard Gustin: Yes. Europe wants to support forward-looking innovative projects. And this project clearly fits that description, but there is not much room for delay, which is something we regret given the scale and ambition of the work involved. We are working in full transparency with our government and the regulator. And indeed, we have to adopt a more cautious outlook regarding its realization. The preparation of the construction site in Vlissingen took more time than expected. And so a more cautious outlook would help to ensure that the projects could still count on EU support. So discussions are ongoing, and we expect more clarity about this in the coming months. However, at this stage, we assume that the EU subsidy will be reduced to a pro rata of what Elia can realize by end of June '26, and that is reflected in our forecast.
Marleen Vanhecke: Okay. Thank you, Bernard, for providing us with some additional insights regarding the island dossier. Let's now start a look -- let's now take a look at some numbers from the half year. Marco, what do they tell us?
Marco Nix: The first half of the year was quite productive. We invested around EUR 1.5 billion, making strong progress on several of our key investment projects as demonstrated in the video earlier. This momentum helped us to deliver a net result group share of approximately EUR 270 million, driven largely by strong performances in both Belgium and Germany. None of this progress would have been possible without the dedication and expertise of our staff. Attracting, developing and retaining talent is essential in these times of high demand for scarce technical. We continue to expand our workforce by successfully recruiting 421 new employees. This growth goes hand-in-hand with our strong focus on employee well- being, which remains a cornerstone of our corporate culture. Our health rate reached an impressive 96.3%, a clear sign that we are creating a work environment where people feel valued and can grow both personally and professionally. It's part of a positive trend we have seen every year since 2020. From a capital markets perspective, as Bernard already highlighted, the first half of the year was a very successful period for us. Earlier this year, the group raised EUR 2.2 billion in equity. Beyond that, we took important steps to further strengthen our financial resilience across all entities. At 50Hertz, we secured an additional EUR 2 billion in debt to support our investment plans using a mix of financial instruments. Recognizing the importance of securing liquidity in today's volatile market, we also enhanced our liquidity lines for all entities. At the end of June, Elia Group had EUR 11.9 billion in available liquidity. Overall, these transactions show our ability to secure funding, which is essential for the group's growth.
Marleen Vanhecke: Marco just mentioned the group's workforce. And on that note, over the past few months, Elia Group has reinforced its leadership team. Bernard Gustin took on the role of Elia Group CEO, Marco Nix was appointed as the group's CFO. Nicolas Pire and Christine Janssen were appointed as the local CFOs of Elia Transmission Belgium and 50Hertz, respectively. And apart from Christine Janssen, the appointments involve internal people moving up to top positions. So Bernard, I think that's a strong signal when it comes to talent management and succession planning, isn't it?
Bernard Gustin: Absolutely. It shows that Elia Group values the capability of its own people, and we are promoting people who already know the culture, the strategy and challenges of the company. It also shows the quality of our people. But above all, these appointments ensure that our leadership team is now fully established and firmly anchored in each of our core TSO markets. And that's not all. These new appointments were accompanied by integration of strong independent profiles with our Board of Directors. Two new profiles have been added, Michel Sirat and Olivier Chappelle. Michel, who has an impressive track record developed in top financial roles in Europe, both within and beyond the energy sector has taken on the role of Chairman of the Audit Committee. And Olivier Chapelle, an experienced executive with broad industrial experience as CEO has joined the Nomination and Remuneration Committee. But we are also pleased to see the return of familiar faces. Pascale Van Damme was reappointed. [ Siska Vanhoudenhoven ], who previously served on Elia Group's Board from 2014 to 2021 and more recently served on the Board of our Belgian subsidiary is back with us once again. So as you can see, these Board appointments reflect our attention to diversity, both in terms of skill set and gender. This is something we care deeply about, and it will remain a key focus as we continue to develop the Elia Group organization.
Marleen Vanhecke: Thank you, Bernard. Let's now change topics completely. Just afternoon on 28th April, a major blackout hit Spain and Portugal. While the rest of the European grid remained stable, the incident showed how devastating the impact of a large-scale blackout can be on society. And it immediately raised a pressing question, could something like this happen here? And concerns about this possibility were significant enough that Belgium's newly appointed Minister of Energy, Mathieu Bihet, paid an immediate visit to Elia's National Control Center in Brussels. From what we know so far, the blackout appears to have been triggered by voltage management issues. A European expert panel is currently investigating the root causes of the blackout and a full report about the incident is due to be published in October. Voltage control is indeed becoming a key focus in electricity systems that carry high shares of renewable energy. And there will undoubtedly be lessons to be learned from the incident and mitigating measures are already being prepared. Our experts will tell us more in the next video. [Presentation]
Marleen Vanhecke: Blackout is a powerful reminder that electricity grids are the backbone of modern societies. Bernard, as [ Birman ] said in the report, is it really a wake-up call?
Bernard Gustin: Sure. It's a major crisis. But as we say also never let crisis go to waste. So of course, no one wants to go through something like this. But when it happens, it reminds us just how crucial our electricity grids are and how important it is to make them strong and resilient. So it's normal that people are asking questions about the cost of the grid investments, but then something like this comes along, and push it in all perspectives. Investments are important for the grid stability, for our country's energy security and for a system that can handle shocks. So yes, we need to stay mindful of the cost. At the same time, we shouldn't lose sight of the value that grid investments deliver. They are essential if we want a future-proof grid.
Marleen Vanhecke: And some people immediately suspected that it was a cyber attack, a reaction that reflects today's tense geopolitical context. Bernard, how is Elia securing its critical infrastructure?
Bernard Gustin: Well, we are the operator and owner of critical infrastructure. Physical and digital security are, therefore, top priorities for us. So during the first half of the year, we made progress on our security strategy, working closely with national and European authorities to protect critical energy infrastructure. But we also strengthened our partnership with the police, civil protection units and international partners such as NATO to safeguard our physical assets. Security in all its forms is and will remain a nonnegotiable priority for the group.
Marleen Vanhecke: And of course, the details of these measures are strictly confidential. Keeping the lights on at all times is also the central theme of Elia's adequacy and flexibility study, which was published in June and covered the period 2026, 2036. It was Elia's fifth such study aimed at ensuring that Belgium always has enough electricity to cover the level of demand. It demonstrates how electrification and digitalization are triggering a transformation of the Belgium electricity system. Bernard, what are the key findings of this year's study?
Bernard Gustin: Well, firstly, the rate at which electrification is occurring in Belgium will push the level of demand beyond the level of available capacity from '28 onwards. However, the capacity remuneration mechanism called CRM remains a cornerstone of Belgium's adequacy strategy. It keeps vital thermal capacity online while driving investment in a new low-cost carbon -- new low-carbon assets. Secondly, flexibility is becoming critical on both the demand and supply side for managing increasing volatility and periods of oversupply. By unlocking end-user flexibility, a double win is created for consumers, lower system costs and lower electricity bills. Finally, to complement the capacity secured by the CRM and close the supply gap in the long term, additional levers should be applied such as the extension of nuclear units or the construction of new units, an increase in offshore wind capacity, cross-border interconnectors or a structural reduction in demand. While this is a Belgian report, it's also highly relevant at group level. We are seeing similar trends and challenges in Germany. So it gives us an opportunity to tackle them in a coordinated way across the entire group.
Marleen Vanhecke: Thank you, Bernard, and I strongly recommend anyone who is interested in a detailed breakdown of the results to take a closer look at the study on our website. Before we take a more detailed look on our half year results, Marco, could you give us an update about the potential upcoming changes in the regulatory framework for TSO in Germany?
Marco Nix: Yes, for sure. The German regulator, the BHR is in the process of updating the entire regulatory landscape for both electricity and gas networks. For the next regulatory period, starting in '29, we are seeing a shift towards a more dynamic cost-plus model. This new approach acknowledged that our operational and capital costs change rapidly. So rather than fixing parameters for 5 years as carried out in the past, the framework will allow for annual adjustments based on actual needs and investments. That's a positive step. Expert level discussions have already begun and 50Hertz is currently preparing several position papers to contribute to the ongoing discussions about this new approach.
Marleen Vanhecke: So far, the BHR has only published key points and first drafts. So when can we expect more information about the actual return figures, Marco?
Marco Nix: We anticipate that the draft framework for the TSOs, so the transmission system operators will be available by the end of '25, with the final decision expected in the first half of '26. After that, the BHR will continue working out the technical details up until '28. So it's very much a step-by-step process. At this stage, it's too early to speculate about concrete numbers. That said, it's encouraging that we are closely involved in the discussions that are being held about the changes. We are making sure our voice is here, especially when it comes to advocating for competitive market-based returns that reflect the scale and strategic importance of our good investments.
Marleen Vanhecke: There's been talk about harmonizing the returns from existing and new assets. Can you tell more about this?
Marco Nix: The BHR is proposing a WACC remuneration model with a single return level on the equity for all assets, independent when the investment has been taken, removing the current distinction. That brings clarity, which is helpful for long-term planning. The cost of debt will be further adjusted annually to reflect actual market conditions. This again aligns with the shift towards a cost-plus model. The regulator wants to better link financial parameters to real-world developments. So to sum up, I would say we are cautiously optimistic. The new regulatory framework is still work in progress, but the direction we are headed in is constructive.
Marleen Vanhecke: That's for Germany. What about Belgium?
Marco Nix: We are still in the current 4 years tariff period that runs from '24 to the end of '27. Discussions with the federal regulator, the crack for the next period will start in early '26. Elia will prepare the file carefully to be able to fulfill its societal mission, including the rollout of our ambitions investment plan for the energy transition.
Marleen Vanhecke: Thank you, Marco. Yes, we haven't talked about our activities in the U.S. And as you probably know, Elia Group via its nonregulated activities holds a minority stake in energyRe Giga projects, an independent U.S. developer of renewable generation and transmission projects. And that brings us to the Trump administration that just rolled out a new fiscal policy, the so-called Big Beautiful Bill. And this cut support for renewables and introduces extra costs and restrictions on clean energy projects. So Bernard, does this impact our U.S. activities?
Bernard Gustin: Well, before diving in it, it's worth noting that Elia Group's exposure to the U.S. market is still very limited compared to our other activities. But that being said, in a nutshell, the new policy accelerates the phaseout of tax credits for clean energy. So yes, there is generally less support for renewables going forward. The broader impact of this Big Beautiful Bill should be manageable for us because our focus in the U.S. is now on transmission infrastructure, which isn't directly targeted. As for our current portfolio of projects, the fundamentals remain solid. But as said, it's clear that these projects will take more time to move forward, so we'll need to show a bit more patience than initially anticipated. And let's not forget the big picture. The U.S. still has a huge structural needs when it comes to electrification, both for the heavy industry and the increasing electricity demand for AI and data centers. So it means more electricity, more transmission lines will be needed.
Marleen Vanhecke: Okay. Thank you for sharing this update, Bernard. So let's now turn to the full update of our half year financials. Marco, take the floor.
Marco Nix: Thanks, Marleen. Elia Group delivered strong results with an adjusted net profit amounting to almost EUR 26 million. That's an increase of 49% compared to last year. In Belgium, we delivered solid results supported by a growing regulatory asset base, increased equity and a higher return on equity. In Germany, 50Hertz performed strongly, driven by asset growth and higher floating rate returns since '24. However, this was partly offset by lower contributions from the nonregulated segment and Nemo Link. Although the operational performance of Nemo Link remained outstanding, its contribution was kept by the regulation. Furthermore, the funding costs of the holding increased. The net profit attributable to Elia Group shareholders increased to almost EUR 270 million. This is based on solid progress made on our investment plans with approximately EUR 1.5 billion invested in both our Belgium and German grids during the first half of the year. At the same time, our net financial debt was reduced by around EUR 1.5 billion. This was mainly driven by the successful completion of our capital increase in April as well as the fact that a significant portion of our investment program was funded through operating cash flows. The average cost of debt slightly rose by 10% -- 10 basis points to 2.9% as Eurogrid proactively tapped the capital markets in the first half of '25 while reimbursing the maturing debt. Finally, I'd like to highlight that our Standard & Poor's credit rating remains unchanged at BBB flat with a stable outlook, confirming the resilience of our financial structure.
Marleen Vanhecke: Yes. That covers the group results. You already mentioned the good results for Belgium. What are the key drivers behind those results?
Marco Nix: Indeed, Belgium delivered solid results with an adjusted net profit rising by more than 30% to almost EUR 130 million. This growth was primarily driven by higher fair remuneration from asset growth and increased equity following the capital increase as well as an improvement in the underlying risk-free rate, strongly operational performance with increased incentives, thanks to the timely commissioning of projects, maximum availability of the modular offshore grid and reduced reservation costs for ancillary services. A one-off tariff compensation linked to the capital increase. This compensation is recorded as equity under the IFRS. But as you may know, these costs are fully passed through to the tariffs. Finally, the higher capital borrowing costs supported the results. These positive effects were partially offset by regulatory settlements from the [indiscernible] '24 review. Turning now to ETB's funding and balance sheet. Following the capital increase at the group level, we injected EUR 1.05 billion into ETB to further strengthen its equity base. This step ensures that ETB is well positioned to support future organic growth in line with its regulatory framework. On the liquidity side, we also saw a notable improvement. This was supported by an increase in its commercial paper program as well as the additional cash received following the capital increase. Looking at the debt profile, the weighted average debt duration stands at 6.6 years and the average cost of debt remained stable at 2.5%.
Marleen Vanhecke: Yes. And now let's shift to Germany. We see a significant increase in 50Hertz adjusted net profit for the first half year of 2025. What are here the main factors, Marco?
Marco Nix: We are pleased to report that the adjusted net profit rose to EUR 207.5 million. This strong performance is the result of several key factors. First, asset growth continues to be the major driver of the results. The expansion of both onshore and offshore infrastructure led to EUR 94.7 million increase in the remuneration. Additionally, we also changed the regulatory estimate for intra-year onshore investment remuneration, which is now reflecting a pro rata share of the full year expected CapEx rather than the actual CapEx spend. This change enhances comparability and better reflects the economic reality of our investment cycle, given that a substantial portion of the CapEx will be spent in the second half of the year. For the first half of the year, this change had an impact of EUR 28.1 million year-over-year and will disappear until year's end. Second main factor on the cost side, inflation index-based years revenues helps to offset most of the operational expense increase. That said, some offsetting effects also occurred. Firstly mentioned depreciation as several major projects were successfully commissioned and brought online. And second, financial costs rose primarily due to the higher net interest expenses from debt financing. However, this was partially mitigated by interest income from a prefinancing agreement with an offshore wind farm developer. Furthermore, capitalized interest during construction increased due to our ongoing investment activities too.
Marleen Vanhecke: Yes. Having reviewed 50Hertz results, let's turn now to its financial position.
Marco Nix: On the liquidity side, we took several proactive steps to ensure funding flexibility. In early '25, we tapped EUR 200 million from existing bond issued in '24. We then issued EUR 800 million green bond with a 12-year maturity and a 4.06% interest rate. At the same time, we reimbursed a EUR 500 million bond that matured. We fully drew down a EUR 1 billion green loan under the KfW Climate Protection Program syndicated with 12 banks to support our offshore projects. This loan carries an attractive 3.0% interest rate. As a result, our average cost of debt rose slightly by 10 basis points to 3% by the end of June '25. We continue to maintain strong liquidity buffers. All EUR 3.9 billion in backup facilities remain undrawn. We also established a new EUR 750 million commercial paper program, enhancing our short-term funding flexibility. And just to bring this section on the equity side to a close, while the total equity remained broadly stable, I'd like to highlight that EUR 1 billion in proceeds from the capital increase earmarked for Euro grid GmbH will be pushed down and evenly distributed throughout '25 and '26 to support our investment program in a phased and efficient way.
Marleen Vanhecke: And in addition to its regulated activities in Belgium and Germany, Elia Group also operates Nemo Link and engages in various activities outside of our regulated home markets. How does this third segment contribute to the results, Marco?
Marco Nix: Our nonregulated and Nemo Link segment posted an adjusted net loss of EUR 11.8 million. This was mainly driven by the following factors. Firstly, a lower contribution from Nemo Link of EUR 9.2 million despite its strong operational performance. The cap mechanism limited its net impact. Secondly, a reduced loss from energyRe Giga, which improved by EUR 1.2 million, thanks to tighter cost control. Then higher holding costs amounting to EUR 6 million, largely due to the last year's debt financing. Finally, other items totaling around EUR 5.7 million, including regulatory settlements and lower contributions from EGI. So while last year's result was positive, this year's performance reflects a combination of lower interconnector income, higher financing costs and regulatory adjustments. To bring my presentation to a close, we reconfirm our outlook. we expect to deliver a net profit at Elia Group share in the range of EUR 490 million to EUR 540 million for the whole year '25. In Belgium, assuming a 10-year OLO rate of around 3.1%, we anticipate a net profit between EUR 255 million and EUR 285 million and plan to invest EUR 1.5 billion throughout the year. In Germany, with a base rate of around 2.5%, we expect a net profit between EUR 380 million and EUR 420 million, supported by a planned investment of around EUR 3.6 billion. The nonregulated segment, including Nemo Link is expected to report a net loss between EUR 35 million and EUR 45 million. This includes a positive contribution of around EUR 25 million from Nemo Link, assuming it continues to operate with a high level of availability. As always, I would like to point out that this guidance obviously doesn't take into account any potential M&A transactions.
Marleen Vanhecke: Thank you, Marco. Before we move on to the Q&A section, then, I would like to invite you to share some final thoughts with us. What is the focus after the summer break?
Bernard Gustin: Our focus remains very clear, delivering on our CapEx program. Now that we've strengthened our financial foundation, it's all about execution, staying on budget and where possible, doing better than the budget, outperforming it, all while maintaining the right balance between affordability and emission. Our strategy remains unchanged. The energy transition is accelerating and our role as an enabler is more relevant than ever through the delivery of sustainable infrastructure, system integration and innovation. And to that end, we will continue to focus on investing in cost efficiency, exploring synergies across the group and reinforcing the resilience of our supply chains. We're also keeping a close eye on key industry developments such as the new regulatory framework in Germany, the preparation for the North Sea Summit in Hamburg early next year. And if Europe wants to achieve energy independence, accelerating offshore wind development will be essential. And in that context, we'll be following the next steps on the Bornholm Energy Island project with great interest, especially now that the German and the Danish governments have agreed to move forward. So we are also looking ahead to our upcoming viewpoint study on storage integration, a critical enabler of system flexibility. So in short, the second half of the year will be about delivering with discipline, innovating with purpose and staying aligned with our long- term vision.
Marleen Vanhecke: Many plans, a busy agenda ahead, just the way we like it. So I suggest we now move on to the Q&A section. Yannick Dekoninck, Head of Capital Markets, will lead on this. And Stephanie Luyten, our Head of Investor Relations, will take us through the questions we have received so far. So Stephanie, could you share the first question with us, please?
Stéphanie Luyten: Thank you, Marleen, and a warm welcome to all my analysts. Can I please ask you to keep it to two questions so that ask their question. We will start today with UBS. Wanda.
Wierzbicka Serwinowska: Two questions from me. The first one is on the EUR 20 million benefit year-on-year from the accounting change. What has triggered it? Because it's the first time I hear about it. I assume it's included in your guidance, but was it earlier choice? And can you confirm it was already included in your guidance? The second question is a more high-level question on Germany. There was a study commissioned by the Germany's economy Ministry on the plan to assess whether the current scope of grid expansion is still needed. So does it pose any risk to your 2024, '28 CapEx plan? How much of your CapEx until 2028 is basically set in stone so it won't be changed? And how in your view -- I mean, there's a lot of discussion about the energy use, the cost of the electricity for the end user in Germany. How the regulator can change your CapEx plans?
Yannick Dekoninck: Okay. Thank you, Wanda. I think on the EUR 20 million question, Marco, I think that's definitely in your area and potentially also on the CapEx.
Marco Nix: Happy to take it. So as we said that the EUR 20 million is a temporary effect. We changed the treatment on an intra-year basis to show a more stable progress compared to the final expectation how much the CapEx volume is going to be. And based on the CapEx volume, we then calculated the connected return as the regulatory treatment is usually based on a full year consideration on the average, and that's something we reflect as well. So the guidance itself for full year is not affected at all. It's only changed the presentation during the year, and it's now aligned. And yes, it was our choice in that regard as we've seen that it's a kind of common standard in usage, and we aligned with the treatment, which we already applied in Belgium on that one. So that's a little bit a better presentation, a fair presentation within the year, but it doesn't change anything on the year-end. So that's on the accounting one. On the CapEx itself, we can confirm that the CapEx plan is intact. So the volume which we have announced for the period '24 to '28 is still the plan which we are following as on one hand, all discussions which are around the political spheres are more hitting the horizon beyond the '30s to some degree. And we already committed more than 70% of the remaining CapEx program until the end of '28. So -- and we are fully on track to deliver what we have promised. So short term or midterm, there is no impact on the CapEx plan at all. So -- and our goal will be to deliver that what we have promised and that's connected to that number. So no change on the mid-run. In the long term, it's, of course, a discussion which you might have followed in terms of affordability, how future big DC corridors, for instance, will be executed, whether it will be still undergrounding cables or an overhead line and there's a cost difference between both. And that's a discussion which is up and running, but these projects come to commissioning mid of the 30s or even later. So there is no immediate impact on our CapEx plan. So we reiterate the planning which we have given.
Wierzbicka Serwinowska: Basically, going forward, we should assume a better seasonality in your 50Hertz net income, right? There shouldn't be like there should be less swings between the years.
Marco Nix: That was the purpose, yes.
Stéphanie Luyten: Thank you very much. Let's now go to Virginia from Santander.
Virginia Sanz de Madrid Gross: Yes, I had two questions as well. First of all, on the grants you had been mentioning that potentially you need to pro rata from the EU on the possible delays on the foundations. I wanted to know how much grants you had assumed initially in your business plan to better understand what this could mean. And second, on the capital raise you have implemented, which you still have not put any of the equity into 50Hertz, I understood. And you said it will be done along '25 and '26. Just wanted to know how much will go actually in '25 for the modeling purposes.
Yannick Dekoninck: So I will propose that I take the question on the grant and then the capital increases, Marco. So for the grant, we received initial amount of EUR 99.7 million from the fund, and that was linked to a construction of the island by June '26. So as you've seen in the movies, we are progressing quite well, but it's likely that it's not fully finished. And so the grant will be reduced pro rata to the completion of the island. Nevertheless, all in all, it will have a very limited effect on our results, considering the amount, which was EUR 99.7 million initially. On the capital increase, maybe Marco, there you can give guidance.
Marco Nix: Happy to take it. So as pointed out during the presentation, there's EUR 1 billion designated to inject in a German subsidiary. Last year, we injected EUR 600 million in total, commonly KfW and Elia Group. So with our 80% around, it was EUR 480 million, and that's the order of magnitude you can expect. So it will be more or less equally being split between the 2 years. So '25, almost EUR 500 million and '26, again, the same portion that we can deploy capital in an efficient way in that subsidiary as, of course, KfW is a partner on our side, which appreciate the kind of stability and visibility on that injections too, and that was the agreement which we made.
Stéphanie Luyten: Let's now go to Morgan Stanley, Harry.
Harrison Williams: Maybe two from me. Firstly, on the German review that is currently ongoing. So appreciating there's limits to how much you can say here, but obviously, lots of interest. We've obviously had some color from the DSO review to some of the changes on the period, the cost of debt and the arithmetic mean. But as we think about what you are targeting for an all-in ROE, I mean, there's a comment in your slides talking about additional kicker. I mean how significant could that be? And what do you need as an all-in ROE to make the whole package investable? So that would be the first. And then secondly, as we think about the German rate potentially moving to this cost-plus model, can you remind us on your historical outperformance, how much of that came from OpEx outperformance and how much of that came from the additional leverage?
Marco Nix: Yes. Maybe I'll start and then let Yannick to complement on the second part. And what we do see is indeed a trend to more simplification, a trend to reduce risk for us, and that's something we appreciate. So that's First of all, something we do see that the regulator is acknowledging that we are in a different situation than 10 years ago. So that's something which we do see positive. On the other side, it's fair that with the WACC model, of course, the concentration on the return and the cost of debt is relatively high. So there's a huge visibility on the returns, which is still a political discussion as well. And of course, by taking off options to outperform, that will be connected to a relatively huge lift up there. There are on the other side, discussions to reintroduce other incentive schemes. How big the allocation between two is, it's really early stage as we are currently in a discussion on ideas what could be incentivized and what order of magnitude that could bring to the returns. And that's a little bit determining what kind of return rate is then something the BSR has put in place. So apologize that we couldn't give more color at this stage in that regard. But that's the situation we are. As we said, we hope to have more clarity until end of year how the structure will look like, not being said that, of course, the ingredients has been set there. To have a look backwards, I think the operational outperformance was around -- in Germany was around 1% depending on the year on the return on equity and the leverage is 1.5 percentage depending on the year as well. So these two factors helps us to lift up the return rates in the past. But it's fair to say that with the cost-plus model, a part of that will disappear and needs to be replaced either by reflection in the return rate or in something else, some incentives to be put in place.
Stéphanie Luyten: Let's go now to Deutsche Bank.
Olly Jeffery: So my two questions, please. First of all, on the grid development plan for 2025, there's an initial view being given on capacity for 2045. Obviously, nothing really yet on investment. But do you see there being an opportunity or do you think the CapEx envelope is expected to be spent on the grid potentially increased or decreased? The capacity numbers seem kind of similar on the middle scenario. And the second question is coming back to incentives for the next regulatory period. I understand there could be incentives around dispatch ancillary services and grid expansion. Are you able yet from your view of the initial paper to discuss that in a bit more detail at all or not yet?
Yannick Dekoninck: I think it's again more questions directed to Marco.
Marco Nix: Yes, I'm happy to take it. So maybe I'll start with the last one on the incentives as this is a good connection then to the question before. As I said, we are currently more in a kind of brainstorming, what kind of incentives can be put in place and what order of magnitude it could give. There has been shared some ideas connected to commissioning and maybe some avoided redispatch costs to be shared as a benefit for the good operator who can manage to put that in place in time or even earlier. But of course, the proof is in the pudding, so that we are still discussing then what kind of date, for instance, is being eligible. So it's rather early. I think it's pretty clear that incentives on the energy cost management will remain one or the other way. That's something which we do see today. That being said, order of magnitude for the bonus to be achieved is relatively low. Maybe that's something which is going to be extended. But it's a little bit guessing. It's really early to say and appreciate if you have ideas to bring it into the process. I mean there's a public consultation foreseen on several stages. And if we do see something which is working in U.K. or whatever, we are happy to take it with us to propose it to the regulator as well. And regulators, and that's good as well is open for that discussion. So they are really keen to get ideas on that one, which they can consider as a kind of part of the framework. On the grid development plan, there's a discussion running indeed. The scenarios provide a broader spread compared to the last grid development plan, which helps to better distinguish between different scenarios. Last time, it was more or less all the time the same. And that's what you do see a little bit more distinctive now. I think for the final outcome, the change will not be that big. It will be more on the offshore side where you then can discuss whether we are still connecting the 65 to 70 gigawatt or less as, of course, the last 15 gigawatts are rather expensive and of course, less productive than the first 15. So that could be a choice the government is going to make. And together with the regulator, we are discussing what is a useful dimensioning on that one, which is determining the costs. It's fair to say that with the last grid development plan, we potentially have seen the peak of projects to be added into the entire development plan until '45 to become climate neutral. So now it's more the question how to put it on a time line and whether you need the residual, which is then topping a little bit the cost items at the longer end and how you are allocating it over time. And it's still a likelihood that the regulator is in the end, taking the lower scenario as the lead scenario, what is different to the past as well.
Stéphanie Luyten: We can now turn to Citi.
Piotr Dzieciolowski: I have two questions, please. So first one, I wanted to ask about your funding plan by '28. How much of the hybrids you have to issue to make your funding through to this -- to the end of the period? Or alternatively, how much of kind of how big of a stake you have to sell in the subsidiaries? And when you have to start looking at these options? I know it's a little bit early, you just find that equity. I just wanted to have a clarity of you had a EUR 4 billion equity need and it was kind of change into what you've done on the equity side plus the hybrid. So I just wanted to get the amount of what's required to get there? And second question, I wanted to ask you about this kind of how -- when the -- if the German government changes the long- term offshore targets from a 70 gigawatt down to whatever the number will be. At what point does this affect your CapEx plan? I understand this is more like a 2030, but I just wanted to understand like what's the cadence of the CapEx could be if it's lower than how you think about it? Is it a big amount that you will not be forced to spend and so on. Essentially, I'm aiming at, is this -- if we change the strategy on the offshore grid development in Germany now, does this mean that the tightness of your balance sheet really disappears beyond '28 because the CapEx requirement is probably gradually getting lower as a proportion to your company size?
Marco Nix: Maybe I'll start with the offshore and then let Yannick to say about our funding position. So it's been clear that any changes in the offshore development will hit more the longer-term horizon. So we will continue to connect offshore wind farms. And recently, there has been a tender, even though not we have been affected. But it will continue for the time being. We have less than 10 gigawatts connected in Germany. next projects in the pipe, which are under construction will give an additional 15. You do see there's still a way to go even though the number will be reduced by 10 or 15 gigawatts based on the 70 you mentioned. So for 50Hertz, it will impact potentially the portfolio by one offshore grid connection. So that's the order of magnitude we are talking about. It's, of course, EUR 1 billion investment, no doubt on that. But on the timing, it's hard to say which of that which are currently dedicated to connect by 50Hertz will be the one which is then being taken out. may be replaced by another one which originally has been thought to connect later. That's still ongoing as that we request a change in the spatial planning of the authority as well. So grid development plan gives a little bit of capacity. And then the spatial planning is the next step to allocate it to a certain wind area and then the connection is being dedicated to one or the other TSOs. So that's a process which is still running and will be completed potentially mid of next year. So which project is then really affected, we cannot say. But that being said, it gives you a little bit of glance that we are not talking about something which we do see in the 30s already.
Yannick Dekoninck: Good. Then on the funding toolkit, I think Bernard mentioned it with the capital increase, we created for ourselves a lot of optionality how we could further finance that plan. It's clear that hybrid could be part of that option. We have today a hybrid capacity, which allows us to close the remaining EUR 2 billion funding needs we roughly have. And there, we are monitoring very closely how the market is evolving, and we've seen that the interest rates have come down slightly since the beginning of the year in that respect. But we also have that optionality to look on how we can strengthen the capital at our operating entities. And there, there is no clear decision that can be both in Germany or in Belgium, but that's something that we are monitoring as well without there is a firm decision on that topic.
Bernard Gustin: I think it really depends on the moment we need to decide. The good luck we have is that we have the flexibility, and now we are really making sure that our toolkit allows us for all options so that we have that flexibility. And we can take the decision at the right moment, but you see that we have the choice.
Stéphanie Luyten: Now let's to Bank of America, Julius.
Julius Nickelsen: Some have already been taken, but still two from me. Maybe the first one, I mean, we already talked about it, there's obviously lots of interest on the German regulation. You said it yourself, Marco, that it's moving more to a low-risk cost-plus model. Are you any way worried that there will be the argument made that low risk should also come with lower return and lower value creation? Or do you think that's not justifiable given the pace of growth? And then secondly, just like on the technical side, a lot of interest. On the Princess Elizabeth Island, what are your options to make the design cheaper? Could you change it away from a DC connection? Like what are the technical options there?
Yannick Dekoninck: So I propose Marco takes regulation, and I think Bernard can tackle your question on the islands.
Marco Nix: Yes, happy to do so. So what we don't expect to be clear that as this is something we perceive is understood, the return rate is nothing which is further shrinking. So I mean that's our expectation that's being placed from different players. And the perception we do have that there is an understanding that it needs to be a sufficient rate to fund the growth of all grid operators and to provide a proper funding on that one. So from that perspective, we don't see a further pressure to push it down. However, how much the lift up could look like, that's a little bit the open question. And therefore, we will not position ourselves in guessing what the outcome will be. So -- but the clear expectation has been placed. And so far, our perception is that's understood that there needs to be a sufficient return to fund the needs for that CapEx program.
Bernard Gustin: On the Princess Elizabeth Island, I think first, we need to salute the decision of the government of the fact that what is today in our CapEx plan is confirmed so that we go ahead with the first wind parks, but also that the government clearly say that an interconnector between U.K. and Belgium, a second interconnector next to Nemo is needed. And so I think this is a very important decision. We had, as you know, a DC component so that we wanted to create a hybrid interconnector so that basically, we would have extra investment, DC investment on the island to create an energy hub and to allow a better choice according to circumstances between using the Belgian parks or using the interconnect -- the alternative to reduce the cost and to just eliminate the extra transfer that we needed to put and the DC component we needed to put on the island are different. There are different options. The first option is just to go to a classical point-to-point interconnector next to the island, which is the first option. Of course, you don't have then the opportunity to select according to circumstances, whether you use the wind from the Belgian parks or whether you use the interconnector. However, so long we are with one interconnector, we can have the advantage of a hybrid interconnector having this interconnection being handled at the beach, if I may say so, and not on the island and not having an extra transformator, and that's something we are considering now. Now of course, if we do that, we have all the benefits of a hybrid interconnector so long we have one interconnector. But the day we have more, the function of an energy hub is not met. You might say, well, it's in a very far future beyond '35 and beyond. But if we want to keep that option, we could still keep the current design, but then that would maybe mean and we are discussing with our U.K. counterpart, whether we could consider also another allocation of cost between the two countries because the U.K. is also interested party in this hybrid indirect connector. Of course, another allocation of cost means also another allocation of benefits. But -- so that means that also the initial design might not be completely excluded.
Stéphanie Luyten: Now let's to Alberto from Exane.
Alberto de Antonio Gardeta: Two questions for me. So the first one will be regarding your guidance. If I take your half year results and consider them this year, the Belgium and German pro rata is expected to be more aligned with your full year guidance. It means that you could be close to the upper side of your guidance, the EUR 540 million of attributable net income. Is it a fair assumption? Or is there any adjustment that we should consider in the second half that has not been recorded during the first part. And my second question is regarding the CapEx profile. You are targeting a EUR 5.1 billion investments during 2025. You have only invested EUR 1.5 billion. Could you explain why there is such a big difference and how you expect in the second half of the year to invest the remaining part?
Marco Nix: Yes. Maybe I'll start and then let Yannick to complement on the half year result, there was a relatively big impact from a settlement with an offshore wind farm developer where we took some financing costs in the past, and we are now agreed on that we are passed through the wind farm developer. That's a EUR 20 million impact on the half year result, and that's something which we do not see in the second half year. To put it a little bit in perspective. In general, your assumption is quite logic, knowing that, of course, classically, at least in the past, we do see often a cost ramp-up in the second half of the year, which gives the first half year a little bit of favor compared to the second half as all the maintenance is being done over summer, and that's something which then plays a bigger role in the second half year, knowing that, of course, the order of magnitude is going down compared to the total remuneration as, of course, the impact on the capital remuneration is much bigger than on the OpEx in the next years. On the cost side as well for -- maybe to complement that on the third pillar, even though the question has not been raised, it's a little bit similar as we expected second half year, some costs in the development of our win good activities, which lead us to a little bit unweighted view compared to the first half year in that regard. So on the CapEx, it's indeed the fact that the spending in the first half year is significantly lower as in the second half year. It's a little bit similar like last year, where we spent 35% in the first half year and the vast majority in the second half, even though this year, the relationship is a little bit even more unbalanced with a 30% to 70% to be spent in the second half year. We are confident taking the progress all of our projects has been made into account, and there are significant payment milestones being connected to milestones which we are targeting to reach in the next few months that the number which we have guided on in quarter 1 is something we can reiterate and confirm. So we are confident that the EUR 5.1 billion of CapEx to be spent in the year '25 is still robust and valid and still something we are basing our guidance on.
Stéphanie Luyten: I think then we can hear it out to Bernstein.
Bartlomiej Kubicki: Two very broad issues I would like to discuss. Firstly, is the -- I mean, we know that in Germany, most likely, we will see higher headline returns, at least in terms of the allowed ROE. So consequently, Belgium may be one of the lowest in terms of remuneration in Europe. Do you expect -- I mean, you said discussions will start next year, but do you think given the history, there are high chances that actually Belgium will follow Germany, will follow other countries and consequently will increase allowed returns in the next regulatory period? That will be the first one. So how should we look at this? And the second one on funding, obviously, equity is on the side, hybrids were discussed. But I just wonder, overall, there will be a big competition from transmission operators on debt. funding. A lot of them wants to and will issue corporate bonds in the future. So I just wonder how do you think the market will shape in terms of how broad or how deep the market is to fund transmission CapEx? Do you think it will have any impact on cost of funding and spreads? And do you think you will also need to tackle markets outside of Europe to fund your growth in the future?
Marco Nix: Maybe starting with the funding. What is valid for the equity that we want to have a toolkit in place is valid for the debt side as well. And as we entered last year with ETB into a loan under European Investment Bank umbrella as well as in Germany under KfW umbrella that gives you a little bit of view that we're, of course, working on extension of our toolkit on the debt side either. And these are already remarkable sizes to be clear on that one. Even that being said, we do see two trends on the Eurobond market for the time being. That's on one hand, the bond market is increasing in total volume. I think last year it was 10% compared to previous year and the stake of the utility is growing as well. That being said, we will not rely only on that one. And of course, looking in other countries, other currencies as well, knowing that there is no immediate pressure to enter into these markets, but we at least have a look at, prepare ourselves, discussing with the regulator how this will be treated as, of course, currency swaps and return rates are different, and they are not familiar with. So there is a kind of education which is being requested on that one. But that's something we are working on to have flexibility and of course, are a little bit confident that we are able to raise the means which we are needing. So some confirmation on that one, yes.
Bernard Gustin: On the Belgian regulation, well, first of all, I would like to remind that the regulation is, of course, the guardian of the affordability of the energy transition, but also of the success of the energy transition. And so they are also sensible to the fact that the investments are higher than before and need to have an adequate return on equity. I also would like to remember that when we had the discussion in the last round of negotiation that led to the current ROE, we had also a significant improvement versus last time, reasonable, but significant considering also the macroeconomic environment we were operating in. So we will have, of course, the discussion with our regulator, but you also see one of the advantage of Elia Group being present and being dependent on two regulators and not just being dependent on one because we can also on an intelligent way, make sure that we can compare the regulators and tell them what we get in the other country. Finally, you've seen in my speech earlier today that very often, I talked about affordability and about cost consciousness and beating our budget than just meeting our budget. I think it's also our responsibility as a TSO to show that we are managing the investment correctly from a cost point of view and that these investments that we are managing well from a cost point of view are essential and necessary and therefore, given their size and their amount needs to have the adequate return on equity. So it's a discussion we shall start as of early next year. That's why it's difficult to preempt on the conclusion. But I think given that we are attentive on the cost, given that we have a history where the returns increased in the past given the amount and the regulator is in charge of the transition as well as the affordability. And given that we have also two regulators to deal with and that we can compare the one to the other, we take this with a positive attitude.
Stéphanie Luyten: Let's now head it to [indiscernible].
Unidentified Analyst: First, congrats with the strong H1 results, of course. Most of my questions, of course, already answered, but I'm curious to hear when we can get a CapEx outlook for '29 and for 2030 as well as the potential new equity requirements for those years. What is the planning there?
Bernard Gustin: Well, I think from the answers we gave to the other questions, you could see that we are navigating in a world that beyond the year '28 still has a lot of uncertainty. It's positive uncertainty, but uncertainty. We are coming at the end. And just a question on the Belgium regulation. We had several questions about the German regulation. This is the basis of our remuneration. And of course, we need to be strong enough to be able to say at some point, we need to do this investment, but we need a certain level of ROE, regulated ROE to be able to do these investments. The discussions are going on. So very difficult to move on before we have more clarity on that. The good news is that we start the discussions in Belgium as of next year. And the second one is that the Germans are clearly thinking about the new model. So we have to wait for that. Secondly, you know that in Germany, the four TSOs are looking at the development plan. We had also a series of questions about how we see that in the near -- in a further future. We are, as Marco explained, rather certain that for the period '24, '28, whatever the decision is taken at that level, it won't affect our CapEx plan. Beyond '28, we believe that the CapEx plan will remain very strong, that the variation that will be brought will not change the world for Elia, but I think it's wise to have a better view of what will be the ambition of Germany in terms of further offshore and renewable transition before we start to have a discussion about what is our CapEx and what is the equity need that is derived for it. So that's why, for the moment, we stay on the current '24, '28 period, and we will come with a period beyond as soon as we can give you a number that is solid enough, i.e., that these uncertainties are removed.
Stéphanie Luyten: Now I hand it over to Barclays, Temi. You still have some questions for us.
Temitope Sulaiman: Congratulations on the strong results this morning. Two questions and one clarification from me, if I might. You noted delays on the foundation of the Princess Elizabeth Island due to the preparation taking longer than expected. Can I just confirm whether this is isolated to the Energy Island and your other projects are not likely to experience delays? That's the first one. The second one has got to do with the German regulation. Marco, you noted some of the parameters being more linked to market parameters. Apart from the cost of debt, what are the parameters will be linked? It would be helpful to have an idea of that. And maybe the clarification. Bernard, you noted the world is changing. There's a lot of uncertainty for the outlook. In the past, you've talked about discussions with regional neighbors on cost sharing being one of the things that help you get a view on the outlook. How have those discussions evolved over the last couple of months?
Bernard Gustin: Well, maybe on the delay and the last one. So on the delay, so the Princess Elizabeth Island is a specific project with a clear incentive from Europe, a subsidy for Europe, where there was a clear deadline that was in there. And we've seen that we started the work on the Vlissingen yard later than foreseen. And despite the good weather, by the way, because we are progressing pretty well, we cannot be completely finished by June 26, which was one of the condition to get the full EC fund. Personally, I think that we should continue to have this easy fund given that basically we are moving fast and we are not coming that far away from the deadline and Europe wants to push for an energy transition. But the rule is the rule, and I think it's cautious that we reflect what is today in the subsidy we receive, the conditions, and we say we won't be ready by June 30, fully completed. So we take it pro rata as we explained earlier. But this is, of course, a specific situation to that specific project. And every project have their specific dynamic that are different from the one to the other. But here, yes, it's an isolated issue on that one, and it's a subsidy that is related to that specific project. So that's on that question. On the collaboration, I think you relate to what we said, and it was shown also in the video of the work done by OTC. 12 TSOs have joined efforts to develop a plan to make of the North Sea, the electricity powerhouse of the future, which we believe is really important, that their collaboration is very, very important. But in that respect, we also see that the current cost allocation, which is always between 2 countries come to its limits because if we want to make for a region or for Europe powerhouse on the North Sea, we need to build some interconnectors where for some countries that are basically long in renewables, the interest is less important than for some other countries that are shorter in renewables. And if you apply just the rule between two countries as it is today, it doesn't work. And so that's why we are working and suggesting because it's not up to us to decide with the other 12 TSO on a methodology of cost allocation to make sure that these critical investment for a region happen. And despite the fact that the benefits for one country might be less than for another country, given that the benefits are important for the whole region. And we want to propose that amongst others. That's why the Hamburg Summit next year is important. We want to propose that to the different governments during the different meetings leading up to the Hamburg Summit.
Marco Nix: Yes. Maybe on the determination of the factors. I understood you in a way that once the framework has been set beginning of next year, then there will be a follow-up from the BSR, which explicitly put things in place which needs to be applied in the framework. And the question is then related which are these things and to you named cost of debt, of course, there's still a question whether it's a reference rate, for instance, based on a rating or more pass-through so real cost pass-through logic. That's, for instance, a discussion which needs to be taken in a framework. And once a decision has been made one or the other day, it could then be one of the ingredients. If you go for a reference rate, then of course, they will determine a kind of logic, how to find that reference rate and put it in place for the first application in the next regulatory period. Return on equity is something which will be determined relatively late in that process, while the logic will then be a little bit derived at beginning of next year so that everybody can already make the maths to some degree, knowing that, of course, the big discussion will be all the time around the risk premium on that one. And that is something we don't have visibility yet. So this will be something which will be determined at the later stage. And connected to the incentives a little bit similar, what is the basis for that one will be fixed just before the regulatory period is going to be start. So that this then be something we can put into the good fees. But of course, the assumption is that once the scheme has been put in place, we can, of course, make some computation what it will be about.
Bernard Gustin: Coming back on the cost sharing cost allocation, I gave you the whole picture and the broad picture of OTC in the North Sea, but we are also concerned with some of our projects immediately, and we talked about the [ Balnam ] Island project, which is a very important project for us. You know that [ Balnam ] is not in Germany. So it's a collaboration between Germany and Denmark. And we are very, very happy that even if the recipe is not known yet, but the principle for Germany and Denmark to work together on a different cost allocation because there is a need that is different between Germany and Denmark is agreed. And now they will work on how do they allocate the cost not only on the transmission, but also on the parks because the generation parks are in Denmark, but will serve merely also Germany. And so that's a typical example where we see the limits of the traditional cost allocation and where generally, we are trying to support a more regional approach. And on individual projects, we are happy. one that is very important for us, [indiscernible], we are happy to see that the two governments have agreed to work on an other formula to respect the needs -- different needs of the two countries in presence.
Stéphanie Luyten: Let's now give the floor to Juan from Kepler Cheuvreux.
Juan Camilo Rodriguez: I have two follow-up questions, if I may. The first one is on German regulation. You signaled that probably returns will be kept or could go up under the new regulation. And how do you see the affordability for consumers on this framework with greater assets coming in and returns being kept or increasing when we see that there's a big push for affordability in Germany currently? And the second one is on Belgium because if I'm not mistaken, in Q1, you were expecting a 2.8% on the OLE. Now I see that is at 3.1%. But Yannick just signaled that actually interest rates have been going down since the beginning of the year. So I would like to see better how -- what are you expecting here for the end of the year that actually rates go up for the end of the year? And how this could impact your return on equity and your guidance? These would be the two questions maybe.
Marco Nix: Yes. Okay. Maybe I'll take the first one, and then you can take the second question. So on the regulation, I mean, it's all over Europe, the question on affordability is not specifically a German topic. So the reference we made is, of course, the determination of the 4% post-tax rate, which is currently put in place for all investments to be made prior to '23. That's, of course, something which is rather low, taking the 5.6% or 5.5%, which we are currently do see for all investment from '24 onwards or commissioning in '25, you do see there is already a difference which the BHR by itself has being seen as necessity to close. And that's what my statement has referred to. On the affordability in connection to the return, I must admit that there's two sides of the coin, and that's, of course, understood. It's affordability for the consumer, right? There are big levers in the grid fees on that one, too. On the other side, it's affordability for us as well as we need to spend the money and raise the money to finance the CapEx. To give it a little bit of perspective, what the government is currently working on in Germany is a kind of, on one hand, a reduction of the taxes on electricity consumption. And secondly, kind of co-financing of the grid fees of the TSOs, a little bit similar mechanism what they have applied during the energy crisis, where they finance a part of the revenue cap of the four German electricity TSOs via the state budget. And a little bit of similar mechanism is something they are working on, which could reduce then the dispense of the energy-intensive industry as well of the consumer to some degree. And that's a little bit a kind of transitional support for the industry, knowing that, of course, it's not easy then to go out at a certain stage, in particular, if we do see a ramp-up of the consumption, what is the underlying assumption that is going to happen one or the other day due to the decarbonization and further electrification that then the relative burden is on an acceptable level. And to bridge that period from now till then, that's something they envisage. However, taking the structure into account, it's still the case that the revenue caps of the four TSOs in Germany are consisting only of 25% infrastructure costs for the time being. Vast majority are system operating costs. So -- and the biggest buckets are redispatch costs. So curtailment on congestions. And of course, the assumption is that while increasing capacity, this congestion will go down to a certain degree, which gives a kind of counterbalance on the further cost increase. So that's a little bit the system and the argumentation which we are in. And therefore, to be bluntly, the revenues itself are not heavily impacted by the returns. It's more the depreciation and the system operation costs, which plays a much bigger role there. That being said, we are mindful of that discussion that, of course, the bill needs to be affordable for everybody.
Yannick Dekoninck: And then for the rates, so the comment that I made was linked to the question on the hybrids. There, what we have seen compared to the beginning of the year, and we are following quite well on hybrids are performing. We've seen there for the hybrids that Elia Group would issue that there the coupon would have been reduced or will reduce. So currently, that would be in the area of 5%, where earlier this year, this was more around 5.5%. And that's why I made this comment. Now linked to Belgium, when we made the projections on the risk-free rate for Belgium, we used the projections which were made by the federal plan office, which was initially 2.8% for the year '25. As you've seen quite recently, the Federal plan office has revised that to 3.1% which is also what we have used in the guidance and which is matching more or less exactly the average of the OLO over the first half of the year. So we are quite comfortable knowing that we have already 6 months of risk-free rate that, that will be more or less where we end up, knowing, of course, that 10% variability in the risk-free rate will have an impact in Belgium of around EUR 2.5 million on the net results.
Unidentified Company Representative: 10 basis points.
Yannick Dekoninck: 10 basis points.
Stéphanie Luyten: Now Mafalda from Goldman.
Mafalda Pombeiro: I think most of them have been answered already, but maybe a remaining one about some -- there were some press articles recently with some comments from the German government about potentially, I mean, having a look again whether some consolidation among the German CSOs would make sense. I mean, I appreciate this might be highly theoretical, but just to understand if this is a discussion -- an active discussion with you at this stage. And even if not, what could be the potential impact for Elia?
Bernard Gustin: No, I think the German government can also add up the math and see how much investment is needed if you add up the four TSOs together. What we hear and understand is that also there are huge other type of investments that are happening at the moment, especially in the defense and other areas. As you know, we've worked very, very well and closely with KfW in FCS, and I think it's a very good partnership. And so far, we understand never say never, but we understand that it doesn't seem the priority at the moment also because they are at least -- and I talk for Elia Group and FMCG. I don't know what happened at the others, but they are very happy about the collaboration, about the way we work together and their participation in FMCG at the level where it is today. But there is no structural discussion on that topic. And I don't think, but I'm not there. I don't think it's a hot topic at the moment.
Stéphanie Luyten: Thank you, Mal. Then maybe Dirk from ING. Dirk, you still have some questions for us.
Unidentified Analyst: Yes, I have some questions left. Maybe also on the Elizabeth Island. It doesn't sound like a huge delay, if I understood the comments correctly. But can you maybe confirm that the timing and start of electricity flows from the initial offshore wind projects is not at risk, as you can say and maybe judge at this point. The other question on the Elizabeth Island is, yes, maybe can you share the storyline on these variation orders and the dispute you have there? Maybe some background for us to get a view. And the second question I have is on the supply chain more generally, also as it affected the HVDC decision and price inflation. Do you see that easing on the key components now that U.S. has more or less stopped new developments and maybe some postponements here and there in Northern Europe. Do you see the supply chains easing a bit?
Bernard Gustin: Maybe on the Princess Elizabeth Island timing, I maybe need to clarify or be sure about which timing we are talking about because there are many timings. The timing related to the European subsidy is the timing to the build of the island, which I think needed to happen by June '26. It's not by June 30, '26 that we will have all the island connected and so on and so forth. So I suppose that's clear to you. And it's true that the island, and I'm talking under control of my colleague, but we are expecting that it's rather end of '26 that we should have the island completed than June '36. So that's where the delay is limited, but the rule of the subsidy is the rule of the subsidy, and that's what we apply. In terms of the electrification and the commissioning of the first phase of the island, we are still in the timing we had foreseen. And so there, there is no reason to change that versus the last communication we had. But we are, of course, and that's a puzzle dependent on different decision. As you know, the very good news is that the Belgian government has decided to basically confirm the first 2.1 gigawatt of electric generation in there. But you also know that they relaunched a tender for the very first park, which might have an impact. So we'll have to see how things happen. It's out of our control there. So we are fine on that. But these are uncertainties we've been dealing with along the project. So that's why for the moment, we keep the current deadline as they are. And basically, we will see how it moves on with some factors that we don't control so well, which are, of course, the generation, which is not in our camp. On the dispute, I just wanted to be sure you could clarify the dispute you're talking about. So if it is about the DC component and the difference, that's what you're referring to, which is not really a dispute because these costs were not engaged and were not even on our CapEx plan, but there was an analysis? Or are you referring on other topics?
Unidentified Analyst: No, I think in the half year report, there's a remark in the sidelines on the dispute. And I think it reads like a dispute with the contract.
Bernard Gustin: You're talking telemedicine, right? Well, listen, there, it's also the life of projects and contracts where you can have a situation where there might be a deviation or an expected deviation in realization of the contract, and it's, I think, open and public that one of our supplier for the island has introduced -- has told us that they have difficulties to keep their budget and their timing, but we have also a contract. And so at this moment, we have discussions with them to understand how deep the problem is. But we also believe that it's important to respect the contract that we have in place. And so the discussions are ongoing, but it's difficult to bring new elements on that. And also, as you could see in the film, at least in terms of delay of the island, maybe helped by the good weather of the moment, but it's moving quite well, given that we have already seven [indiscernible] out of the 23 in the sea. So let's see. But for the moment, no specific update that we can give on that one.
Marco Nix: Maybe to a word on the supply chain in general, it remains tight. That's fair to say, in particular, as, of course, Yes. The reason why we stick to our guidance on the CapEx plan is simply that we all booked that to a certain degree, and that's being done all over Europe. And there's quite a heavy pipeline on the supply chain, in particular, on the elements you mentioned like HVDC leading up to the beginning of the 30s. So from then onwards, we do see some flexibility on the supplier side. So that is, of course, helpful in putting all the upcoming projects into a certain order. From the price perspective, there's another observation we do see it's not going down for the time being, but the dynamics on the increase has been shrinking so that there is a kind of more stable territory, which we are talking about, knowing that, of course, it's still volatile due to the simple fact that on one hand, the exposure to transportation is still big and on raw material as well. And there's a fluctuation on copper, on all this stuff, which you might know, and that's still something to be handled. And of course, we are looking from a procurement side into that, whether we can protect ourselves in derisking future orders on material already, whether we want to, whether we are able to and of course, whether this is something the regulator is accepted as, of course, one or the other day, it could go the other way around as well. So -- and that's something we do not want to expose neither. So therefore, I would say there's a quite small optimism that we are coming into territory, which is more predictable in the future for any calls of equipment and material.
Stéphanie Luyten: Thank you very much. And I think that we are now at the end of the Q&A. I believe we all had -- all our analysts had the time to ask us questions. So thank you for that for the interesting questions. If you have any follow-up questions, obviously, you know how to get in touch with me or the team. So I will now hand it back to Marleen to round up today's call.
Marleen Vanhecke: Thank you, Stephanie. And I would like to close this presentation with thanking some people, Yannick, Stephanie, Bernard and Marco, thank you for being here with us and for your contributions. Thank you also to our colleagues behind the scenes, Helen, Marleen and [ Rbouire ]. We would also like to thank the technical team behind the scenes. So ladies and gentlemen, thank you for joining us, and enjoy your summer break.